Operator: Good morning, ladies and gentlemen, and welcome to the CGI Fourth Quarter and Fiscal 2018 Conference Call. I would now like to turn the meeting over to Mr. Lorne Gorber, Executive Vice President, Investor and Public Relations. Please go ahead, Mr. Gorber.
Lorne Gorber - CGI Group, Inc.: Thank you, Ruth, and good morning. With me to discuss CGI's Fourth Quarter and Fiscal 2018 results are George Schindler, our President and CEO; and François Boulanger, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live from Montréal at 9:00 AM, Eastern Time on Wednesday, November 7, 2018. The press release we issued earlier this morning as well as our 2018 MD&A, financial statements and accompanying notes, all of which are filed with both SEDAR and EDGAR, are available for download on our website along with supplemental slides. Please note that some statements made on the call may be forward looking. Actual events or results may differ materially from those expressed or implied, and CGI disclaims any intent or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by applicable laws. The complete Safe Harbor statement is available on both our MD&A and press release as well as on cgi.com. We encourage our investors to read it in its entirety and to refer to the Risks and Uncertainties section of our MD&A for a description of the risks that could affect the company. We are reporting our financial results in accordance with International Financial Reporting Standards, or IFRS. We will also discuss non-GAAP performance measures which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are Canadian, unless otherwise noted. I'll turn it over to François first to review our Q4 and full year financial performance, and then George will provide strategic and operational highlights for fiscal 2018 and our outlook for fiscal 2019. So with that, François?
François Boulanger - CGI Group, Inc.: Thank you, Lorne, and good morning everyone. I am pleased to share our fourth quarter and fiscal 2018 results. Starting with Q4, revenue was CAD 2.8 billion, an increase of CAD 191 million or 7.3% compared with Q4 last year. On a constant currency basis, revenue grew 5%. Organic growth accelerated to just over 2% in the quarter on the strength of prior quarters' bookings. Bookings were CAD 3.5 billion in Q4, for a book-to-bill of 126%, up CAD 621 million from last year. Again this quarter more than half of the bookings were new business. Adjusted EBIT in Q4 increased to CAD 436 million for a margin of 15.6%, up 40 basis points year-over-year mainly due to profitable new revenue growth and the impact of restructuring to accelerate our growth strategy. As planned, we completed all remaining actions in Q4 related to the restructuring program incurring the last CAD 20 million of expenses and bringing the total investment to CAD 189 million. The full benefits of the program will be reflected in fiscal 2019 results. Client buying trends and CGI's positioning to meet this demand have resulted in a current revenue mix that includes higher SI&C volumes, fueled by business from new mergers, and client demand for our digital transformation consulting services, less infrastructure revenue as we accelerated our asset-light strategy and growth in IP solutions and services as we launched an enhanced offering selling them through new client relationships. Net earnings were CAD 293 million in Q4 and EPS was CAD 1.03, up 47% compared with CAD 0.70 last year. When excluding restructuring and integration expenses, net earnings were CAD 310 million for a margin of 11.1% and earnings per share were CAD 1.09, up 17% from CAD 0.93 a year ago. DSO at the end of September was 52 days compared with 50 days last quarter, largely due to the current business mix with more SI&C, as I previously mentioned. As a result, cash generated from operations in the fourth quarter was CAD 340 million, or 12.2% of revenue. This represents an improvement year-over-year when considering more than CAD 22 million in cash disbursements made against restructuring expenses. Turning now to fiscal 2018. For the year, revenue was CAD 11.5 billion, an increase of CAD 662 million, or 6.1% compared to fiscal 2017. On a constant currency basis, revenue grew 4.6%, of which 1.5% was organic. Bookings totaled CAD 13.5 billion, of which 45% was new business. That's 117% of revenue, or CAD 2.2 billion higher than last year. As a result, backlog increased to CAD 22.6 billion. EBIT was CAD 1.7 billion for a margin of 14.8%. This is up 20 basis points from last year, and earnings were CAD 1.1 billion and EPS was CAD 3.95, up from CAD 3.41 in fiscal 2017, representing an improvement of 16%. When excluding integration and restructuring-related expenses, net earnings were CAD 1.2 billion for a margin of 10.5%. EPS was CAD 4.19, or CAD 0.54 higher than last year, representing growth of 15%. Our effective tax rate for the year was 25.6% when excluding the CAD 34 million onetime tax benefit posted in Q1. This compares with 27% in fiscal 2017. This lower rate is mainly due to the benefits of a reduced U.S. tax rate. Looking ahead for fiscal 2019, we expect a range of 24.5% to 26.5%. For the full year operating cash flow amounted to CAD 1.5 billion, or 13% of revenue, representing an increase of CAD 135 million from fiscal 2017. This figure includes cash disbursements of CAD 120 million related to the now-completed restructuring program. We expect most of the remaining CAD 64 million to be dispersed in the first half of fiscal 2019. Throughout fiscal 2018 we made a number of accretive investments, CAD 326 million back into our business, in people, contracts and intellectual property; CAD 250 million in acquisitions; CAD 800 million repurchasing 10.4 million shares; and we paid down CAD 102 million in long-term debt, including CAD 72 million in Q4. At the end of September our net debt stood at CAD 1.6 billion, or CAD 109 million lower than last year, for a net debt to capitalization ratio of 19.2%, well within our comfort zone. We recently extended our CAD 1.5 billion credit facility by an additional year to December 2023. In addition, we expect to refinance the US$ 230 million debt tranches due during fiscal 2019. Given current market condition, this will give us maximum flexibility to execute on our build and buy strategy. In short, we have the financial capacity and the intention to continue building and buying in 2019. Now I'll turn the call over to George.
George D. Schindler - CGI Group, Inc.: Thank you, François, and good morning. At this time last year, I shared several strategic priorities for fiscal 2018 which were based on our analysis of industry trends, feedback from client interviews and our commitment to being an investment of choice. As we closeout the year, I am pleased with our team's collective performance in executing on these strategic priorities. Revenue growth for the year was 4.6% at constant currency, higher in nearly every segment. In fact, several large operations grew ahead of their local IT services markets including Canada, Finland, France, Germany and in our U.S. Commercial segment. Ex items, EPS expanded by 15% to CAD 4.19 and several metro market mergers were successfully completed, adding more than 1,700 talented professionals and with expertise in data science and analytics across industries in Northern Europe, agile design and development across industries in Québec and digital transformation consulting concentrated in the life sciences industry within the U.S. Northeast. And now with the merger with Germany-based ckc, which was announced at the end of the fiscal year and subsequently closed at the beginning of fiscal 2019, we add an additional 300 professionals with an emphasis on transportation and manufacturing expertise in Central and Northern Germany. The full integration of these mergers into the CGI culture and operating model is already setting the foundation for accelerated organic growth in fiscal 2019. In every geography where we completed mergers in fiscal 2018, bookings are up year-over-year on the strength of these new client relationships and our expanded capabilities. In short, our results demonstrate the disciplined implementation of our build-and-buy strategy to create value for all three stakeholders. Before turning to fiscal 2019 outlook, I will provide some fourth quarter performance highlights which are generating momentum for our new fiscal year. In North America, revenues for the U.S. Commercial and State Government operations grew 4% in constant currency compared to the same period last year. This was driven by continued strong commercial market performance, specifically in the financial services, utilities and health sectors. Client demand across industries is increasingly focused in advanced analytics, human-centered design and intelligent automation. These new initiatives have generated increased client outsourcing opportunities and renewed interest in partnering on CGI IP. EBIT margin was 20.4%, up from 17.4% a year ago on the strength of profitable revenue growth and increases in U.S. R&D tax credits related to our ongoing new technology investments. In U.S. Federal, we delivered a 100 basis point margin improvement year-over-year despite lower revenue which was impacted by a onetime contract adjustment taken in the quarter. Most notably, the team was successful in closing significant new work in the quarter, achieving a book-to-bill of 327%, 80% of which reflects net new business. This new work includes task orders on new contract vehicles such as with the Social Security Administration as well as multiple new wins with Momentum, our market-leading ERP solution. In Canada, our team delivered revenue growth of 6.1% and maintained a strong margin of 22.1% in the quarter. We initiated new projects with Canadian banks, public utilities and retailers in the quarter as clients continue to focus on automating both customer-facing and core business systems. We've accelerated the SaaS migration and blockchain enablement of our IP, particularly in financial services, as a direct result of the digital priorities of our Canadian clients. Turning now to Europe, in France our teams delivered Q4 revenue growth of 7% and an EBIT margin of 13.2%, up 170 basis points from the same period last year. Bookings were 109% of revenue on the strength of renewals and expansions by several outsourcing clients in the manufacturing and transportation industries. We expect the ongoing strength in consulting to continue pulling through the larger recurring revenue deals and create new IP opportunities. For example, as of the fourth quarter, the annual IP revenue run rate in France is 14% higher than the prior year. In Northern Europe revenue was up 12% in constant currency and EBIT margin increased 90 basis points to 12.6%. Bookings were strong in the quarter at 120% of revenue, driven by significant outsourcing extensions in the oil and gas sector. Additionally, we are experiencing high demand for advanced analytics expertise across industries and countries in this region. In the UK revenue growth accelerated by nearly 8% while EBIT margin remained steady at 13%. Bookings in the quarter were lower at 74% of revenue, reflective of the temporary slowdown in procurement decisions as the Brexit deadline nears. Given our significant public sector positioning, we continue to be optimistic about a post-Brexit upside as government clients implement sovereign program changes. And despite the uncertainty of Brexit, we are seeing global commercial clients moving forward with larger IT investments when compared with last year. In Eastern, Central and Southern Europe our team delivered Q4 growth of nearly 7%. Germany continues to be a robust market for us as we are recognized as an innovation leader. Our clients' digital priorities have led to an increase in the delivery of CGI services for agile consulting, particularly in the manufacturing sector, new instant payment solutions and financial services and cloud native applications across industries. And in Asia Pacific our proven combination of industry domain and technology expertise continues to differentiate our global delivery centers of excellence. As such, we delivered growth of 4.1% and an EBIT margin of 24.3% in the region. We remain optimistic as we look ahead to fiscal 2019. Our business plans are informed by the insights from the in-person client interviews we conducted around the world. Our confidence is rooted in our strong positioning strategically, operationally and financially. I'll summarize a few of the key insights from our clients that fuel this optimism. Clients plan to increase overall IT spending, as well as investments in new applications, with over half now implementing an enterprise-wide strategy. Connecting a client's existing operations to new digital initiatives is part of their enterprise-wide strategies and a particular strength for CGI, as evidenced in our growth, bookings and pipeline. They are increasingly focused on what we view as the practical implementation of digital initiatives, including modernization, security and data analytics – all areas of recent CGI investment through our build and buy strategy. And there is an emerging finding from our Client Global Insights which shows that organizations with tighter alignment between IT and business have better earnings performance. In response, we are in the initial stages of introducing a new consulting offering called journey to world-class IT to help clients assess and inform their continuous improvement roadmaps. All of these findings continue to favor global end-to-end services firms. Clients are placing a premium on trusted relationships, moving to fewer partners who can consistently deliver with quality and innovation anywhere they are in the world. CGI is one of the few firms with the scale, reach, capabilities and commitment to be our clients' global partner of choice. The demand for systems integration and consulting continues to accelerate, and is reflected in our current business mix. However, based on market trends and the forward-looking buying plans our clients have shared, outsourcing spend is now expected to gradually increase over the next three years. Specifically, clients indicate they will increase their level of outsourcing for core IT and business applications, IT and IP-based business processes, and secure cloud solutions over this same period. With the increases in our consulting and systems integration business, new client relationships from recent mergers and the record high loyalty and satisfaction ratings signed by our clients we see an opportunity to capitalize on this buying trend and convert more business over time into higher margin recurring revenue. IP will continue to be integral to this evolving mix as we partner with clients to deliver intelligent automation and business innovation solutions informed by our deep domain knowledge. Our capital allocation approach is aligned to this strategy and is designed to grow revenue at or ahead of the markets in which we compete while continuing to expand our earnings per share. We will do so by investing in our business including in people, IP, new offerings and outsourcing contracts to drive profitable growth and optimal service mix, funding in active and disciplined consolidation strategy within the IT services industry to accelerate our growth, and buying back our stock to increase returns to our shareholders. In conclusion, we continue to see a market climate conducive to achieving our strategic aspiration of doubling CGI over the next five to seven years. Thank you for your continue interest and support. Let's go to the questions now, Lorne.
Lorne Gorber - CGI Group, Inc.: Just a quick reminder, there'll be a replay of the call available either via our website or by dialing 1-800-408-3053 and using the passcode 3770373. That'll be available until December 8. As well, a podcast of the call will be available for download within a short few hours, and any follow-up questions could be directed to me as usual, 514-841-3355. Ruth, if we could pool for questions.
Operator: Certainly. Thank you for your patience. Our first question is from Thanos Moschopoulos from BMO Capital Markets. Please go ahead.
Thanos Moschopoulos - BMO Capital Markets (Canada): Hi, good morning. George, from a margin perspective I imagine that your utilization rates are now running at healthy levels in most regions and you obviously just completed your restructuring. So, consequently, as we look out over to next year, would it be fair to assume that the key margin driver from here would be more focused on the revenue mix, given the type of SI&C work you've been booking? Or is there still more room on cost utilization?
George D. Schindler - CGI Group, Inc.: Yes. Thanks, Thanos. As you know, we did do the restructuring to position ourselves for that revenue growth and, of course, drive the higher utilization. And you do see that we're now at full run-rate. There's a little bit of a tailwind going into next year because we didn't reach full run rate until the end of the fourth quarter, so that will give us a little tailwind. But we are better-positioned for those new digital initiatives as planned. And you see in the bookings, we're well-positioned as we head into 2019 to get some of that revenue acceleration.
Thanos Moschopoulos - BMO Capital Markets (Canada): Okay. And on the margin front, I mean, given the benefit that we're seeing from the year-over-year impact on the restructuring benefit being realized, I'll ask a question that I think you're often asked this time of year, which is as you look out towards 2019, based on that and based on where the bookings are, would you see a strong path towards achieving double-digit EPS growth this year?
George D. Schindler - CGI Group, Inc.: Yes, so as I mentioned, our plan is designed to continue both the revenue growth and the expansion. So, I believe that that's where we'd be heading.
Thanos Moschopoulos - BMO Capital Markets (Canada): Great. And then maybe one last one from me, you mentioned the IP growth that you've experienced in France and I know that improving your IP mix in Europe has been a key focus. Can you clarify what solutions are driving that? And more broadly as we think about IP in Europe, where you're seeing the most traction?
George D. Schindler - CGI Group, Inc.: Yes. So, actually, 36% of the bookings in the quarter were related to IP. And for this quarter, it was really our government Momentum ERP in the U.S. Federal unit as well as some other government IP but financial services is really the other driver around the world. I'd also mention that we continue to invest in the IP. And so, we actually introduced six new offerings this year, two of which were in France, so that's driving some of your increases in France, both in the retail market and in the financial services market around open banking. We're doing all of that in partnership with clients, so the market is already there. So, it's not build it and they will come. We're also introducing more into our HotScan around
François Boulanger - CGI Group, Inc.: Anti-fraud.
George D. Schindler - CGI Group, Inc.: Anti-fraud. Thank you. Lost it there, HotScan anti-fraud and as I mentioned in our government ERP. So, we're also introducing updates through digital into our existing IP, and that's driving some of this growth as well. And as you know, we have new client relationships through mergers. So, it's really all of the above, Thanos, but clearly in places like France where we started from a lower traction rate, you see – I mentioned the 14% growth here in the fourth quarter run rate, that's where you see some of the growth over the next year.
Thanos Moschopoulos - BMO Capital Markets (Canada): Great. Thanks, George. I'll pass the line.
George D. Schindler - CGI Group, Inc.: Okay.
François Boulanger - CGI Group, Inc.: Thanks, Thanos.
Operator: Thank you. Our next question is from Phillip Huang from Barclays. Please go ahead.
Phillip Huang - Barclays Capital Canada, Inc.: Hi. Thanks. Good morning. George, maybe a question for you first. I mean, there are obviously some ongoing uncertainties with the global trade tensions and Brexit and FX volatility. Your bookings continue to be very strong, and encouraging to hear in your opening remarks that your customers continue to increase IT spending. I was just wondering if you could elaborate, in your conversations with customers, what are they saying about the macro environment and how their investment priorities shifting, if at all?
George D. Schindler - CGI Group, Inc.: Yes, it's a good question. As I mentioned, as we go through those in-person client interviews, remember, the underlying demand is coming from their customers, or in a government sense, from their citizens to have a more digital experience. So, this is really not a situation where they can decide not to invest. It's really how they invest and who they invest with. And we do see a shift to having a more of a consolidated partnership. We continue to see that happening across many of our large markets in Europe including Germany, UK and France. We're also seeing that in North America, particularly in the United States where clients are looking for that – implement that enterprise-wide strategy, therefore, they're looking for enterprise partners. And it's to drive both cost efficiencies, ultimately, some savings in there, but also drive some of that digital experience. And interestingly enough, another item that does come up given some of your talk about some of the trade tensions, they want more of that to be done in-country, which plays well to our global delivery model where we obviously have a very strong global delivery model in Asia-Pacific, but also the onshore delivery centers spread throughout each of the countries in which we operate. That's a nice differentiator for us, and we're seeing that come up more and more. So, that's a way for them to mitigate it but still meet their customers' needs.
Phillip Huang - Barclays Capital Canada, Inc.: Are there a specific area that you see a greater focus on in terms – you talked about practical implementation, and I think you mentioned security. Are there specific areas that you're seeing a greater increase in interest in terms of implementation?
George D. Schindler - CGI Group, Inc.: Yes, I think it's – you mentioned security for sure is one of them. Introducing more data analytics, and I've also mentioned several times here over the last year intelligent automation and that intelligent automation is on both sides. It's to drive a better customer experience but also to drive better operational efficiencies. So, that's what we see and it's connecting them in. We see that in some of the announcements we made in California, which is a government. It's really about introducing more automation into their home health. We see that in our work with Hydro-Québec where it's actually introducing it more into their operational systems. We see this in areas of Europe as well. So, it's across the board.
Phillip Huang - Barclays Capital Canada, Inc.: All right. That's helpful. And then another question on your pillar three and pillar four of your growth strategy, just wondering if you'd comment a bit on the acquisition environment for both metro market opportunities as well as transformational opportunities?
George D. Schindler - CGI Group, Inc.: Yes, thank you for the question. On the metro market acquisitions, we continue to see a strong opportunity for us. And the rationale is one, it continues to be a highly fragmented market even with some of the consolidation going on. There's still lots of fragmentation, and yet the driver, as I mentioned, to enterprise-wide strategies which is driving a bit of a partner consolidation by our clients, gives a nice market for us to continue to merge with those metro market companies. So, that's very strong. On the more transformational deals, I think the market is – clearly, the valuations are still not where we would expect them to be. But as I mentioned, I think that consolidation is building up. More and more companies are deciding on where they want to play, what their strategy is. Our strategy is to continue to be an end-to-end services company. And I think there will be opportunities for us to consolidate the services industry, IT services industry, in a bigger way transformationally, which is why we're making sure that we prepare ourselves financially, as François mentioned, to be able to do both sides of that. So, we'll continue on pillar three, but there's a bigger opportunity on pillar four, I believe, in the coming quarters or year.
Phillip Huang - Barclays Capital Canada, Inc.: That's very helpful, George. The last question for me perhaps for François on the restructuring savings into 2019, I was wondering if you can give us an update on how you expect the savings to ramp and whether there are specific nuances to some of the regions that you'd point out. Thanks.
François Boulanger - CGI Group, Inc.: Yes. No specific nuance. I think like George was indicated, we still have some in Q4 and we expensed the last CAD 20-ish-million in Q4. So, we'll see now the full benefit of this program starting in Q1. And you'll see so even some increase naturally versus this year since we spent a good portion of the program also this year. So, you'll see a year-over-year improvement for sure related to the restructuring program.
Phillip Huang - Barclays Capital Canada, Inc.: Thanks a lot, guys.
François Boulanger - CGI Group, Inc.: Okay.
George D. Schindler - CGI Group, Inc.: Okay. Thanks, Phil.
Operator: Thank you. Our next question is from Richard Tse from National Bank Financial. Please go ahead.
Richard Tse - National Bank Financial, Inc.: Yes. I just had a question here. A number of your European competitors have had quite a few challenges this past quarter, and you've obviously had some considerable strength. And I'm just kind of curious, from your perspective, what you'd attribute that to?
George D. Schindler - CGI Group, Inc.: Yes. No. It's an interesting question, Richard. I think for us it's really having a disciplined approach on execution. It does begin with our operational excellence, living up to the commitments and the promises we make with our clients and establishing a relationship based on that performance track record which builds the trust which then allows us to provide some of the other offerings. I do believe also it's on the strength of the metro market mergers that we have done over the last two years. And we've added a lot of talented individuals and fully integrated with the outstanding CGI talent we already had, which is driving not just that culture and that performance culture where clients – where trust is built, but also having the capabilities and the skills to bring the content to our clients. And I think in many ways our clients are hungry for that, recognize the importance of that because the opportunities are getting larger and the stakes are higher for our clients and so that matters more. Of course costs still matter, but these other elements I think matter more. And so, I think that's driving some of our strength. But it starts with the discipline that our team has been able to execute on.
Richard Tse - National Bank Financial, Inc.: Okay. That's helpful. So, with respect to the metro market acquisitions, it seems like it's sort of occurring at more of a regular pace. Is there a target that you want to have in terms of the capital deployment with respect to those metro market acquisitions?
George D. Schindler - CGI Group, Inc.: Yes. François – we certainly have a target, of course, it's based on still having the right company at the right time at the right price. So, it's not driven by the capital allocation. We want to make sure we have the availability of the capital allocation to do, continue to do these at a pace that makes sense for us. And that pace could be up to one or two a month if we needed to, if the opportunity was there. And so, we want to make sure we have the capital structure to do that. François, you want to add anything?
François Boulanger - CGI Group, Inc.: No. Like I'm saying, we're generating CAD 1.5 billion of cash. We're reinvesting CAD 300 million back into the business so we have free cash flow of CAD 1.2 billion that we're generating per year, and the focus after is to look at these acquisitions with that CAD 1.2 billion. We were capable to do some last year, CAD 250 million. The rest, we applied it on buying back stock. But if we have more opportunity, for sure we'll apply that. That's our first priority after investing back in the business.
Richard Tse - National Bank Financial, Inc.: Okay. And one last one from me, you no doubt have had strength in the SI&C segment for quite some time, and I think the game plan, certainly based on your remarks, is that those will eventually convert into longer-term outsourcing deals. Can you give us a sense of the timing of when that would start to pick up? Is that sort of a late 2020 event? Or just generally speaking, when do we start to see a pickup on that side?
George D. Schindler - CGI Group, Inc.: Yes, I wish I had a crystal ball, Richard. I don't. But we do have something closer to a crystal ball and that is sitting down and talking to our clients, which is why I shared with you that they do intend to increase outsourcing gradually over the next three years. What that looks like and how quickly we can capture that, obviously we'll go at the pace they have. In the meantime, we'll continue to grow our SI&C work, which really establishes that trust, that relationship through their experiences of working with us. And obviously, that brings value in and of itself but it brings the greater value down the line. So, you're correct on the strategy. I wish I could tell you exactly when the timing is, but we are starting to have those conversations. So, the pipeline is growing on the outsourcing side for sure.
Richard Tse - National Bank Financial, Inc.: Okay. Great. Thank you.
François Boulanger - CGI Group, Inc.: Thanks, Richard.
Operator: Thank you. Our next question is from Stephanie Price from CIBC. Please go ahead.
Stephanie Price - CIBC World Markets, Inc.: Morning.
François Boulanger - CGI Group, Inc.: Good morning, Stephanie.
George D. Schindler - CGI Group, Inc.: Good morning, Stephanie.
Stephanie Price - CIBC World Markets, Inc.: You mentioned financial services as a driver of IP growth, and obviously I noticed a couple of contract wins this quarter in the Canadian bank space. Can you talk about the key areas of spend and where you're seeing that IP growth in financial services?
George D. Schindler - CGI Group, Inc.: Well, on the IP side, it's based on the intellectual property that we have. So, we have mentioned the new offering in open banking. We have our offering in the anti-money laundering, and then again, we see that expanding. We have our offering in wealth management. We have our offering in trade solutions. In each of those offering, by introducing some intelligent automation and leveraging newer technologies, it's driving even a better value proposition for our clients and it helps them accelerate their move to digital. So, it's really a combination of the intellectual property we have, the new intellectual property that we're introducing, but also the value proposition that's changing, that's driving some of that growth for us. And again, from our clients' perspective, they need to move faster and faster. So, that's maybe some color commentary there.
Stephanie Price - CIBC World Markets, Inc.: Perfect. Thanks. And then, one of them was a blockchain pilot as well, maybe you could talk a bit about your blockchain offering.
George D. Schindler - CGI Group, Inc.: Yes. So, the blockchain, as I've mentioned before, we're introducing this into our existing offerings. I mentioned last quarter right at the end of the quarter or beginning of this quarter, we did win the Fingrid opportunity with our central market, central market solution for utilities. That's an area where we're introducing blockchain. In our trade finance, it's certainly an area. It lends itself to a secure and faster mechanism for locking down those transactions. So, it's really introducing them into practical implementations, not just the technology for the technology's sake. And we're getting a nice response from our clients on this because, of course, they want to leverage the new technologies, but they need an application to do that in.
Stephanie Price - CIBC World Markets, Inc.: Great. Thank you. And, François, one for you on a little more detail on the work-in-progress adjustment in the U.S. Federal business this quarter. I think you might have mentioned it was onetime?
François Boulanger - CGI Group, Inc.: Yes, a onetime adjustment in a specific contract. Naturally, we won't talk about the client name, but it's behind us and we're not expecting any other adjustment in the future.
Stephanie Price - CIBC World Markets, Inc.: Great. Thank you very much.
George D. Schindler - CGI Group, Inc.: Thanks, Stephanie.
Operator: Thank you. Our next question is from Maher Yaghi from Desjardins Capital Markets. Please go ahead.
Maher Yaghi - Desjardins Securities, Inc.: Yes. Thank you for taking my question. A few of mine were asked already. I just wanted to take some time talking about Northern Europe. You had to do some work there on the topline and also on the cost side. It seems like it's picking up, growth rates improving. How much of your – when should we start seeing lapping of those infrastructure contracts that you did not renew so that we can see the full benefit of the work you've been doing over there? And a question on the Federal side in the U.S., in terms of contracts, you've been winning good contracts, but on the defense side, you're seeing some decreased work. Can you talk about what are you doing to improve the situation there? And I have just one last question on margins after.
George D. Schindler - CGI Group, Inc.: Okay. So, on Northern Europe, I appreciate you recognizing some of the work that was done, and the team has done a fabulous job in now realizing some of those benefits. We will continue to see a bit of a tailwind from running down some of the infrastructure work and not all of that was not renewing contracts, some of that was actually just renewing contracts in that asset-light strategy. So, the revenue does go down because you don't have the equipment, some of the systems software. And in fact, we have won some infrastructure contracts in that more asset-light strategy. So, it's still central to our strategy, just in a different way. But you will continue to see some of that in a comparable basis over this next year because some of that was masking some of the growth we have been having. I highlighted some of the advanced analytics work. Again, that's on that front end of SI&C. And so, just like we're doing in the rest of the world, we'll see some of those relationships pulling through larger SI&C contracts in the future but then given the central nature of data in today's world driving some of the larger outsourcing opportunities for us to do that across the board, as well as IP opportunities. And we're very strong in IP in Northern Europe. And so, as we introduced, just like we are in other parts of the world, as we introduce more automation and advanced technologies into our existing IP, we'll see that growing as well. So, it's a positive one. On the Federal side, the mix changes over time. We've been splitting the mix between civilian and defense. The reality is there's really three areas. It's the civilian, it's the intelligence areas, and then it's the defense. We haven't really changed that mix that much. It's just the way sometimes we report it. Having said that, if you're looking out based on the midterm elections and you're looking out to 2020, there probably will be reduced defense spending. So, the fact that our portfolio mix changed a bit is probably – prepares us for that regardless. Of course, that intel area includes the homeland security, which is where we had the big win, announced the big win this quarter, introducing security into existing systems and operations. So, remain pretty positive on the U.S. Federal side.
Maher Yaghi - Desjardins Securities, Inc.: Okay. And in terms of margins, can you maybe be a bit more detailed, let's say, in terms of the outlook for margin improvement? François, you talked about the fact that you're not realizing all the benefits on the restructuring. How much more should we be looking for in terms of margin accretion from, specifically, the restructuring to flow through into the results in 2019 that we haven't seen so far?
George D. Schindler - CGI Group, Inc.: Yes. Well maybe I'll start, take a step back, Maher, because I think it is important and one of the reasons I highlighted it at the beginning of the call. For us, the margins really follow the mix of our business. The SI&C, which is high gross margins but also tougher to drive the same high utilizations we have in other parts of the business, outsourcing the highest utilization because of the recurring nature of the business, also the lower cost of sales because of the recurring nature of the business; and our intellectual property, highest gross margins, highest net margins because it's not – at the end it's not the people base driving some of the margin improvements. So, I go back to looking at the margins we have in Canada, where we've moved the margins in the U.S., and where you see our strongest business right now in Europe, in France and where those margins continue to increase, there's lots of room and opportunity for us to gradually increase that as we continue to drive the business mix over time. The specific – I don't have the specifics, François but it's not the larger part.
François Boulanger - CGI Group, Inc.: No.
George D. Schindler - CGI Group, Inc.: I mean, we've been driving the savings for the restructuring throughout the year. As you know, we started that in the fourth quarter of last year. And so, there's a bit of a tailwind but it's not material.
François Boulanger - CGI Group, Inc.: The only thing I can say, Maher, you see we finished at 15.6% in the quarter, 40 basis point better. For the full year, 14.8%, because again we need to be careful with seasonality, but 14.8% for the year. And again, we didn't have – we still had a lot of restructuring in the year. So, naturally, we're seeing the 14.8% increasing next year. So, clearly so that's the expectation.
Maher Yaghi - Desjardins Securities, Inc.: I see where you're going. I mean you finished the year on growth and improved margins better than the overall year. And we should keep that in mind, too, as we enter into 2019. But just on one last question when it comes to deploying cash, and you talked about the fact that valuation have not come down enough for you to be a lot more active on transformational deals. How was it for smaller deals? Have valuations changed on that side?
George D. Schindler - CGI Group, Inc.: On the metro market acquisitions?
Maher Yaghi - Desjardins Securities, Inc.: Yes.
George D. Schindler - CGI Group, Inc.: No. We continue to see favorable valuations. Many of these companies are private companies. They're looking for a cultural fit. It's a different – it's a totally different situation than dealing with a public company. So, we're actually driving good value. We see favorable valuations to continue our metro market strategy.
Maher Yaghi - Desjardins Securities, Inc.: Okay. Thank you.
François Boulanger - CGI Group, Inc.: Thanks, Maher.
Operator: Thank you. Our next question is from Paul Treiber from RBC Capital Markets. Please go ahead.
Paul Treiber - RBC Capital Markets: Thanks very much, and good morning. Just wanted to follow up on your comment on clients placing a premium on trusted relationships and moving to fewer partners, do you have any metrics that you can share on either customer retention or customer satisfaction relative to industry averages? And then also the comment about 50% or more than 50% new bookings related to new business. Is that predominately within existing customers or new customers to CGI?
George D. Schindler - CGI Group, Inc.: Yes. So, maybe to start with the second part of the question, one third of our net new business, roughly one-third of our net new business is from new logos. And so, that's a definite positive because, again, it means the story is getting out there in a broader way. The remaining is through renewals and add-ons to existing, really to expand their digital services in support of the enterprise strategy. So, these are areas where we might be doing some of the operational support. Now they want to connect in the digital, and they're adding on and selecting CGI. So, both are net new business. Both are good drivers for us. On the customer satisfaction side, we are at an all-time record right now, 9, over 9.1 in customer satisfaction, and that's out of 10 and these are signed assessments. And we drove more assessments this year, I think about 17% to 20% more assessments this year than we did in the previous year. So, we're talking to more of our clients. We're doing it more often, and our scores are going up. Of course, it's not just a score. What this does is helps us build a relationship because it's the comments that we receive, and then the trust is built through us acting on what we hear from our clients. And the same thing goes for our annual discussions, in-person discussions with our clients, where they suggest, these are the areas we'd like to see you invest in. The strength of the relationship and the loyalty comes from us acting on what we hear, which is one of the reasons I shared it with you here. So, that's where the strength comes from. And I think you see in the bookings, and I see in the pipeline growth the results of that.
Paul Treiber - RBC Capital Markets: And then related to CGI's investments in software and IP, I noticed in the MD&A there was a disclosure on your ICE program, I think, Innovation, Collaborate and Evolve. Could you elaborate on that? And can you also just speak more broadly in terms of how CGI's investment in innovation has changed over the years?
George D. Schindler - CGI Group, Inc.: Yes. No. It's a good question because we have increased the innovation and you mentioned on the client scores, we've measured how our clients see us in innovation and that's the most improved score year-over-year and it has been over each of the last three years. So, we know what we're doing is working. But our internal innovation is consistent with what we say and share with our clients, and that is that innovation does happen at the shop floor and the shop floor for us is working in conjunction with our clients. And so, we're doing the same thing internally. So, we're saying, okay, we have 74,000 members. The bulk of them are working with our clients on projects, and so our ICE program really is to take the best ideas that they have, bring them to the forefront and help to invest in that. And that's a 50-50. We invest 50% from the center and we invest 50% from the P&L's around the world. And as you know, we have a decentralized empowered working model and so the two come together. A lot of our new offerings came that way. In fact, the central market solution that we were successful with Fingrid came through that program. First, ICE, and then what we do to scale the offering as we introduce our intellectual property management foundation where then from the center we look to industrialize and scale it so that the solution and innovation doesn't stay local but can be broadcast globally to all of our clients can benefit. So, that's really the model. It's working very well. Our IP has never been build and they will come, as I said, it's always with clients. But now with the introduction of ICE, we get more ideas, faster ideas. We get a connection between those ideas and then we can still scale it in a faster way
Paul Treiber - RBC Capital Markets: And just one last one from me, we're hearing more talk about wage inflation. What has CGI experienced in terms of wage inflation and how are you managing it?
George D. Schindler - CGI Group, Inc.: Yes. So, it's an interesting question. As you know, the wage inflation it's been a little more stubborn when compared to some of the economic growth we see around the world. Having said that, it's really all based on value. So, the bulk of our individuals, 85% of our members are billable on client engagements. Wage inflation really is, as their value goes up in what they are doing, what we are doing for our clients, then we're able to increase the rates based on that increased value and then, of course, manage the wage inflation. So, right now we don't see that as a headwind it all.
François Boulanger - CGI Group, Inc.: Thank you, Paul. We'll go to the next question.
Operator: Thank you. Our next question is from Howard Leung from Veritas Investment. Please go ahead.
Howard Leung - Veritas Investment Research Corp.: Good morning. Thanks. I just wanted to get a sense of the capital allocation, your plans for that in fiscal 2019. Just thinking about what do you think about split between buybacks, acquisitions and the investments in intangibles? I know this year you've spent almost CAD 800 million (51:57) in buybacks. Do you think it's going to be in the same range or a little less, or little more?
George D. Schindler - CGI Group, Inc.: Yes. Well, as François mentioned, really when we talk about the capital allocation, it is – we deliver that in priority order. Our highest return is investing back into our business, in the people, in the contracts and in the intellectual property. So, we continue in our plan to increase the spending there. The next is really close behind that, is accretive acquisitions. And the reason the emphasis is on accretive is our hurdle rate is we need to have that accretive in year one. Not sure that all of our competitors do that, but that's the discipline that we have. And so, if it is going to be accretive in year one, we need some flexibility because we're not, as I mentioned, that means we have to have the right company at the right time at the right price in order to have that happen. We're seeing that accelerate in these metro market acquisitions. So, we're confident that we would increase that amount as well in our business plan and that is how we're allocating that. And the remaining then, typically, it's either paying down debt and or repurchasing shares. As François mentioned, our intention is to restructure that so we have maximum flexibility to do more acquisitions, more investments back into our business and continue repurchasing shares. So, that is it in a priority order. I don't know, François, if there's any additional comment?
François Boulanger - CGI Group, Inc.: So, it's coming back to, like George was saying, the timing of these acquisitions. So, sometimes it's fast, sometimes it's a little bit slower. Like we're saying, we have a disciplined approach on the acquisitions, so depending on the timing and if it's coming faster, we'll put more on the acquisition. If not, we'll continue to do some share buyback.
Howard Leung - Veritas Investment Research Corp.: That's great. That's helpful. And just kind of related to that, the free cash flow for fiscal 2018 was double-digit growth over the last year – I mean, a little part of that was from FX. But when you think about fiscal 2019, are you building that same rate of growth into fiscal 2019? And I know part of the – there was also a restructuring expense in fiscal 2018 as well. So, wondering if we can expect some of that same results?
François Boulanger - CGI Group, Inc.: We finished the year at 13% of revenue as cash from ops. So, that's the idea is to at least achieve the same percentage and even increasing it. So, that's how we're measuring it on a 12-months basis.
Howard Leung - Veritas Investment Research Corp.: Okay. And just one last one on IFRS 15, just there's a note on it now in the in the statement, and I think overall you're conclusion is that's not really material. Some of your peers are talking about capitalizing some commissions and bonuses, and also there's some other discussion about agent versus principal but it's not mentioned there in your statements. Is it because those two aren't material for you guys?
François Boulanger - CGI Group, Inc.: Yes. We don't have a commission plan by itself, so that's why we're not capitalizing any commission in the balance sheet, so we won't advise a commission on the balance sheet. On gross, net, for now we don't see any changes. I don't know with the comparables for sure. I think that's a little bit more on the people that were using U.S. GAAP. For us in IFRS for now we didn't see that much of changes versus what we were applying before.
Howard Leung - Veritas Investment Research Corp.: Great. Yes. I know, yeah, it sounds like for the peers a lot of them are – it's mainly at the flow through hardware stuff that they have to write down the revenue. So, it looks like it's not really affecting CGI as much?
François Boulanger - CGI Group, Inc.: No. No.
Howard Leung - Veritas Investment Research Corp.: Okay. No, sounds good. Thanks. That's helpful. I'll turn it back.
George D. Schindler - CGI Group, Inc.: Great. Thanks, Howard.
Operator: Thank you. Our next question is from Paul Steep from Scotia Capital. Please go ahead.
Paul Steep - Scotia Capital, Inc.: Great. Thanks. George, can you talk – it's been the third quarter now you've had CAD 3.5 billion in bookings consistently. Can you maybe talk about how we should think about that either flowing into a revenue acceleration or in terms of are these longer-term contracts that are further building out long-term backlog? Thanks.
George D. Schindler - CGI Group, Inc.: Yes. Thanks for the question. So, it's actually a combination. You see that our mix has changed. So, a little more of it is on that SI&C side of the house, so that would translate into growth faster. And we're seeing that in some of the hiring. We're seeing that in some of the growth this quarter. You'll see more of that as we move into the year. But it also is a mix. And so we're pleased with some of the outsourcing opportunities because that gives us some of the longer term. So, when we book 117%, that doesn't mean you're going to see 17% growth, but you are going to see more of that growth because of that higher percentage in systems integration and consulting.
Paul Steep - Scotia Capital, Inc.: Great. Thank you.
François Boulanger - CGI Group, Inc.: Thanks, Paul. Ruth, we'll take one last question.
Operator: Thank you. So, our last question is from Robert Young from Canaccord Genuity. Please go ahead.
Robert Young - Canaccord Genuity Corp.: Hey. Thanks for squeezing me in. I'll just ask a high-level one to cap it off. You said that some of your customers are talking about increasing outsourcing spend gradually over the next three years. Maybe if you could talk about – is the overall pie getting bigger? I think you said that. Is this driven by, maybe, less emphasis on purchases of enterprise software or companies getting a little bit exhausted on that, and need to digest it? And then, what does that mean for your business? Does your offering become more important in the overall pie, as enterprises look at how they're spending their IT budgets? And then I guess I'll hand it off.
George D. Schindler - CGI Group, Inc.: Yes. No. Thank you for that. I think it's a combination of all the above. I do believe that in the immediate term, the pie is getting larger. As we see a convergence between business and IT, IT is becoming far more of the driver and in many cases, we're seeing organizations drive their business change now through IT projects, not the other way around. It used to be there'd be a big business change project, and oh, I need some IT to enable that. Now it's my business model has changed because of the IT, whether it's data analytics or an offering, intelligent automation or AI offering for clients that really it is about the IT. And to bring the rest of the organization along, they're making that move. I did mention that's why we have the new consulting offering around journey to world-class, to help our clients with that overall change, because the leaders of these organizations all get it. But it's bringing the rest of the organization along because as important as IT is, the humans are just as important. So, that's what we're seeing. So, the pie is getting bigger, the elements of that driver now, some of that is built into the IT projects. So, a very positive climate for us, and we're still in the, I would say, the early innings of that transformation.
Robert Young - Canaccord Genuity Corp.: What I said about the exhaustion on enterprise software purchase, is that a fair statement? Are you seeing your customers move away from the activity in enterprise software that has been very busy the last several years?
George D. Schindler - CGI Group, Inc.: Yes. No. I wouldn't characterize it as exhaustion. I'd characterize it more of differentiation. They're thinking more about how they differentiated, which is also why trust becomes important, why fewer longer-term relationships become important as they drive that business change. So, less about exhaustion, because the enterprise solutions are still important. It's just how they use those and how they differentiate on top of those. So, it's the value-added services on top of those platforms, in many cases.
Robert Young - Canaccord Genuity Corp.: Okay. Thanks.
Lorne Gorber - CGI Group, Inc.: Thank you, Rob. So, we're out of time, everyone, so thank you for joining us and look forward to speaking with you again for our Q1 results on January 30th, also our AGM that day. Thank you.
George D. Schindler - CGI Group, Inc.: Thank you.
François Boulanger - CGI Group, Inc.: Thank you.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time, and we thank you for your participation.